Operator: Good day everyone. And welcome to the ICL Third Quarter 2024 Earnings Call. At this time, all participants are in a listen-only mode. Later you will have the opportunity to ask questions, during the question-and-answer session. [Operator Instructions]. Please note, this call is being recorded. [Operator Instructions]. It is now my pleasure to turn the conference over to Peggy Reilly Tharp. Please go ahead.
Peggy Reilly Tharp: Okay. Thank you. Hello, everyone. I'm Peggy Reilly Tharp, Vice President of Global Investor Relations for ICL Group. I'd like to welcome you, and thank you for joining us today for our earnings call. This event is being webcast live on our website at icl-group.com., and there will be a replay available a few hours after the live call, and a transcript shortly thereafter. Earlier today, we filed our report and presentation with the securities authorities, and the stock exchange in Israel, and tomorrow once the SEC EDGAR website reopens, we will do so in the U.S. Those reports, as well as the press release and our presentation, are available on our website as of this morning. Please be sure to review the disclaimer on Slide 2. Our comments today will contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These statements are based on management's current expectations and are not guarantees of future performance. The company undertakes no obligation to update any information discussed on this call at any time. We will begin with a presentation by our CEO, Mr. Raviv Zoller, followed by Mr. Aviram Lahav, our CFO. After the presentation, we will open the line for the Q&A session. And I would now like to turn the call over to Raviv.
Raviv Zoller: Thanks, Peggy, and welcome everyone. I would like to begin by providing a brief update on the situation in Israel, which is now in its 14th month. We have continued to address the challenges caused by the war, including fluctuations in the number of reservists called to service, and ongoing logistics related issues. We remain committed to delivering against our 2024 plan, while continuing to manage all areas under our control, and preparing for potential external risks and scenarios. Now if you will please turn to Slide 3, for a brief overview of third quarter results, which continued the positive trend we saw in the first half of the year. Sales of $1.753 billion, were up for the third consecutive quarter, while adjusted EBITDA of $383 million was up for the fourth consecutive quarter. EBITDA was also up 11% on a year-over-year basis, as EBITDA margin expanded from 19% to 22%. Throughout the first nine months of 2024 as always, we maintained our focus on cash generation. As a result, our free cash flow strengthened throughout the year, with a year-to-date free cash flow of $572 million. Adjusted earnings per share has also improved every quarter this year, and for the third quarter we delivered adjusted EPS of $0.11 up 10% on a sequential basis. In the third quarter, our specialty driven business divisions, Industrial Products, Phosphate Solutions and Growing Solutions reported a 37% year-over-year increase in EBITDA. For the third quarter, our potash business division represented approximately 30% of total EBITDA, versus nearly 50% in the same quarter last year. We continue to return value to our shareholders via our industry leading dividend and next month we will distribute another dividend payment of approximately $0.05 per share. We also maintained our focus on expanding ICL's innovative product pipeline across all of our specialties driven businesses during the quarter. In addition to our focus on strong cash generation, we continue to target cost savings and efficiency efforts as well. I would ask you to turn now to Slide 4, and a look at both year-over-year and quarter-over-quarter trends for some key financial metrics. As you can see, we once again delivered quarter-over-quarter improvement across the board. Consolidated adjusted EBITDA was up on both a quarterly and annual basis, and our specialties driven business divisions achieved improvement in both sales and EBITDA versus both prior periods. Let's start with a review of our divisions, and begin with our Industrial Products business on Slide 5. For the third quarter of 2024, sales of $309 million were up 16% year-over-year. Over the same time frame, EBITDA increased 55% to $65 million. EBITDA margin of 21% improved versus 16% in the prior year, when the bromine market reached its bottom, driven by scale and efficiencies. In the third quarter, we continued to reap benefits from our efforts to gain market share in flame retardants, with higher volumes for both brominated and phosphorus-based solutions. Sales of clear brine fluids for use in the oil and gas industry decreased year-over-year, due to a normal shift in the oil and gas drilling cycles in Europe, and the Eastern Hemisphere. Specialty mineral sales increased year-over-year driven by higher volumes for industrial applications, and steady demand from the food and pharma end markets. The new product pipeline, which spans from apparel to construction and into battery materials, is expected to benefit from an expansion into the North American energy storage supply chain, through a phosphorus compound for use in the production of LiPF6, a critical raw material for lithium ion batteries. On Slide 6, you will see our potash division results for the third quarter of 2024, with sales of $389 million and EBITDA of $120 million. Our average potash price was down $45 CIF per ton year-over-year, while total sales volume was down approximately 220,000 metric tons for the same timeframe. As I mentioned earlier, at our Dead Sea operations we continue to face intermittent challenges related to the war. We have continued to adapt to fluctuations in staffing, and remain flexible in the face of shipping constraints, which presents a challenge for ICL and other global companies. In Spain, we are benefiting from ongoing operational and efficiency efforts, which have driven record third quarter production. For 2024, we intend to limit our total annual potash sales volumes to the 4.6 million metric tons, which have already been committed. This is similar to 2023 volumes, and in anticipation of improving conditions in 2025. Turning to Slide 7, in our Phosphate Solutions division where third quarter sales were $577 million. EBITDA $140 million increased on a year-over-year basis, while EBITDA margin expanded to 24% from 20%. In the quarter, growth in specialties market share more than offset lower prices, related to a decrease in cost inputs. On a portfolio basis, we continue to expand into new and adjacent products and food, industrial and pharma end markets. On a regional basis, we saw continued growth at YPH, our joint venture in China with increased demand for battery grade phosphate. We are two months away from completing our customer innovation, and qualification center in St. Louis, which will allow us to begin qualifying battery materials product for customers. This big step forward, puts us in an optimal position for growth in the Western Hemisphere, as it will allow us to prove our products at scale, and strengthen our customer relationships. For our commercial LSP plant in North America, we continue to align our construction timeline, and capital spend to match anticipated customer demand. Looking more globally, we are now selling specialty phosphate solutions, to a battery customer in Argentina, and we're also looking at battery material partnership opportunities in Europe. In terms of commodity phosphates, prices firmed in the third quarter with tight stock positions in key markets. Turning to Slide 8, and our Growing Solutions business division, where third quarter 2024 sales of $538 million were somewhat down year-over-year, while EBITDA of $64 million increased more than 70% for the same timeframe. EBITDA margin of 12% expanded significantly versus the prior year, driven by efficiency efforts and improved product mixed. Our strategy of offering innovative products targeted to meet regional needs, continued to prove itself as we delivered our third sequential quarter of sales and EBITDA growth. In China, we recently signed a five-year agreement with one of the top agricultural distribution companies. The agreement valued at approximately $170 million, is for specialty water soluble fertilizers, which have seen a substantial increase in demand in China. In North America, we have made good progress on the integration of Custom Ag Formulators, a provider of liquid adjuvants and enhanced nutrients, as well as various other specialty products. I would now like to wrap up with a few highlights on Slide 9. While I'm pleased that we delivered sequential EBITDA improvement for the fourth consecutive quarter, our future growth relies on our passion to strive forward, and to disrupt our own markets when necessary. This attitude has enabled us to continuously enhance our already robust product pipeline, with innovative new solutions. Simultaneously, we have worked to manage costs and drive efficiency efforts. There are no sacred cows at ICL, and two additional small sites were closed this quarter for efficiency considerations. We have also worked together to leverage opportunities across business segments, and we will continue to do so, as we look to target new and adjacent end markets, through innovative product solutions. One example of this, is our battery materials business. We have the potential to leverage our expertise in a variety of ways, and to expand our presence as a global leader in this space, through new products and offerings. In North America, our Customer Innovation and Qualification Center, is nearing completion and we currently expect commercial production, to begin in 2027. Another example of our dedication to innovation is Agmatix, our AdTech digital start-up, which was recently recognized by Fortune as one of the 10 companies that are changing the world, and was featured in an important scientific publication in Nature on regenerative agriculture. The new region IQ platform helps agronomists and suppliers implement environmentally friendly crop strategies, and enables them to tailor regenerative practices to specific crops and conditions. These are just two examples that demonstrate how ICL is working to improve lives and protect the planet and neither would be possible without the hard work, dedication and support of each and every ICL employee. To all of our team I say thank you. And with that, I would now like to turn the call over to Aviram.
Aviram Lahav: Thank you, Raviv, and to all of you for joining us today. Let us get started on Slide 11 and take a look at some key market metrics. Since we are a truly global company serving a variety of end markets, we look beyond fertilizer prices to a wider array of macro indicators. Starting with inflation, where the U.S. and EU saw decreases in the third quarter, while China, Brazil and Israel also increases which ranged from 20 to 60 basis points. Interest rates decreased versus the prior quarter in the U.S., EU and UK remained steady in Israel and India and increased in Brazil. Global industrial production was stable in the quarter with improving trends expected into the next few quarters. On a sequential basis, housing starts picked up slightly in the U.S. in both the second and third quarters this year. Turning to Slide 12, in key fertilizer market metrics across the board, grain prices ended the third quarter lower while farmer sentiment significantly softened. However, data for October showed a surprising pre election bounce in sentiment as farmers expressed some optimism that economic conditions will improve and that there will not be an extended downturn in the farm economy. Potash and phosphate prices continue to diverge, with potash prices maintaining their descent while fossil prices increased slightly versus the second quarter and significantly year-over-year. While ocean freight rates decreased in the quarter reaching the lowest level since the third quarter of 2023. At ICL we continue to see higher overall logistical cost. On Slide 13, you can see some key market metrics for energy storage and electric vehicles. While both are growing at roughly the same pace over the next few years, the most significant increase in demand is still expected later in the decade. As Raviv mentioned, in addition to our current North American battery materials project, which is aligned with our customers' current expected production timelines, we are also looking at battery materials expansion opportunities in other regions. If you will now turn to Slide 14 for a look at our third quarter sales bridges on the left side, you can see the year-over-year change for each of our business divisions with potash having an outside impact on the year-over-year decrease in sales which came in at $1.8 billion. Turning to the right side of the slide you can see the impact of lower prices especially for potash and the effect exchange rates had on sales. In addition, due to one time logistics adjustments, which will allow for greater flexibility of allocation between ports and Israel going forward, we deferred approximately 120,000 metric tons of potash sales volumes to China. On Slide 15, you can see the impact lower potash prices had on our third quarter 2024 EBITDA of $383 million. We were able to offset lower prices in general through higher quantities and lower raw material costs in our specialties driven businesses. Turning to Slide 16, you can see that even as potash prices continue to decrease in the third quarter, ICL remained a leader in terms of average realized price. Once again we maximize the profitability of our cost efficient resources. Demand for potash is currently constructive due to soil replenishment needs and we are seeing some firming in the global market. On slide 17, I would like to remind you of ICL's leadership position in the global bromine market. While bromine prices have been under pressure for more than a year, the Dead Sea remains the most cost competitive source of bromine and accounts for approximately two-thirds of global supply capacity. If you turn to Slide 18, you can see how our business breaks out on both a regional basis and business division. As a truly global company, we maintain solid foundations in Europe and North America while participating in high growth markets like Brazil, China and India. As a truly diverse company, our four business segments serve a wide array of end markets from automotive, to food and beverage, to pharma and beyond. Before we wrap up, I would like to share a few highlights on Slide 19. We continue to prioritize cash generation and ended the quarter with available resources of approximately $1.7 billion. Our cost savings and efficiency efforts are ahead of our expectations. Our net debt to adjusted EBITDA rate at quarter end was 1.2 times and S&P recently reaffirmed our BBB- rating with a stable outlook. And of course we are once again distributing 50% of adjusted net income to our shareholders. In December we will pay out $68 million as a dividend to our shareholders, keeping our trailing twelve month dividend yield at 4.6%. Finally, if you will turn to Slide 20, I would like to update you on our 2024 guidance. For our specialties driven business division, which include industrial products, growing solutions and phosphate solutions, we now expect EBITDA to be between $0.95 billion to $1.05 billion in 2024. This is up on previous guidance of $0.8 billion to $1 billion. As Raviv mentioned earlier, for 2024 we intend to limit our total annual potash sales volumes to 4.6 million metric tons, which is in line with 2023 volumes and in anticipation of improving conditions in 2025. We'll continue to expect our effective tax rate for 2024 to be approximately 28% which was our rate in the third quarter. And with that, we can begin the Q&A.
Operator: Thank you. [Operator Instructions] We'll take our first question from Rahi Parikh with Barclays. Please go ahead. Your line is open. Hi everyone and congrats on the results.
Rahi Parikh: Hi, everyone, and congrats on the results. I'm obviously coming in for Ben. And the first question that we have is, do you have any preliminary specialty outlook for 2025 given that 2024 is coming together much better than initially anticipated? And I have a follow up for after that.
Raviv Zoller: Okay. So as you can imagine -- first of all, hi, how are you? And I hope you get to touch base. We have -- yes, we do have preliminary thoughts about 2025. It hasn't filled up, that's what budget for '25, but we definitely, I mean, the ideas and the axioms for '25, if I go industry-by-industry, I would suggest that we see basically further stabilization or firming up around the potash starting from that hopefully continuation of the good track record that you have on phosphate and its derivatives on industrial products. As you know, a lot of it depends on the market side and the demand that's going to firm up. We believe that during the year, demand should be picking up. We are not waiting for the demand, as you know. We are supplying basically at full steam, but this should drive prices up. And finally, on the growing solution side, we're hopeful that we continue the very positive journey that we embarked upon in '25 is going to be a better year there. So again, we're going to work on it. We don't have a version that we're ready to share at this time, but the trends basically look okay. Anything I missed, Raviv? Anything you've learned?
Raviv Zoller: No, it looks perfect.
Aviram Lahav: Okay. So that's '25. And of course, once we have better picture, as always, we'll find a way to share it. And it will culminate in the guidance that obviously we will give when we come out with Q4 and '24. We will also, of course, give the guidance for '25, as we did in the previous two years.
Rahi Parikh: Okay. Thanks, Aviram. And then also just on geopolitics, do you see, is the impact still just on increased shipping costs or are there issues getting tons out in the area? And then what's your take on the Belarus notion to cut 10% of production? Thanks so much.
Raviv Zoller: Okay. So thanks for the question. Geopolitics, of course, nobody has a crystal ball, but the main issue for us is logistics and shipping. And during the third quarter, we made certain adjustments to make sure that if necessary, we could get all our product out port instead of two. That has a certain cost to it. We saw -- if you look at the bridge of quarter versus quarter last year, there was an increase of $13 million in transportation costs. So a huge chunk of that has to do with the adjustment to move out of one portion. So we're hoping, of course, that in the coming months things will work out to the better and that we lose that problem that we don't like to face. But in terms of our abilities, we're much more flexible now because we can actually ship all of our product from one port. It means that part of the adjustment that was made this year was that we're shipping more to the western hemisphere than we did before. So the negative is that we have less flexibility on our shipping destinations. The positive is we get better. We actually got a better return from the western hemisphere. And given that the current situation is that, we see that the price for the beginning of next year when we sell product for January, we get better return than the spot price, then we prefer to defer product to any product left, which is not a whole lot to next year, so that's on geopolitics and transportation. In terms of Belarusia [ph], we don't really know. There were certain things said. There are a lot of rumors in the market that if things were said, there probably is reason for that, but we don't actually know. We do understand that the marginal price of shipping products from Belarusia to China by train is at its very low, which means, there isn't any profitability there. Or at least that's what we understand. So if that's the case, then I guess the Belarusians have to do something. And what exactly they do is the big question. But all-in-all, the trends in the potash market look like prices are affirming. The eastern prices are firming in all markets other than China. But inland China also looks like its getting tightened. And Brazil future sales are at a higher price than the spot sales. So all-in-all looks like potash market is firming. The only place where I don't know at this point is Europe's off season and we don't see any particular demand. But in all other regions there's significant potash demand given the need for soil replenishment. So things are looking good on the put outside with or without Belarusian use.
Rahi Parikh: Awesome. Thank you so much.
Raviv Zoller: Thank you.
Operator: Thank you. Our next question comes from Alex Jones with the Bank of America. Please go ahead. Your line is open.
Alex Jones: Great. Thanks very much for taking my questions. Two if I can. The first on the guidance for the year on specialties EBITDA, could you talk about what the sensitivity is within that range? The $100 million sort of top to bottom and what would drive that to the bottom end or the top end, please? And then the second question specifically on industrial products. If I look at the pricing this quarter, it was sequentially improved, still down 6% year-on-year, but much better than the double-digit declines you've reported in recent quarters. Is that indicative of a trend? Should we expect pricing to return positive into next year from what you're currently seeing in the market or any comments you have there?
Raviv Zoller: Which part of the business. Alex, if I may?
Alex Jones: Industrial products.
Raviv Zoller: Industrial IP. Okay.
Aviram Lahav : I'll start with the second question. I'm not sure that I heard the first question, so I'll pass it on to you.
Raviv Zoller: Yes.
Aviram Lahav : On industrial products, the price is relatively stable and there's a little bit of seasonality. Like for now, there's a little bit of price going up, because of winter stoppage in China. But the prices have pretty much stabilized in the past few months and there's no meaningful change in price in recent months. There is a little bit less of sales of clear brine fluids in the quarter, has to do again with seasonal effects, nothing real. In terms of output, we're almost at full output. So I guess as long as we're at full output, there's no reason for too much price appreciation. Price appreciation will probably appear once demand strengthens on the electronic side. Real estate is going to take a little more building and real estate is going to take a little longer. I didn't actually hear the whole first question, so pass it on.
Raviv Zoller: I can do it. Hi Alex, and thank you for the question. Basically, when we look at Q4, the way it is shaping up in many ways, it should be a similar quarter maybe that was not to Q4, Q3, Q3 and Q4, maybe to some extent this will be a bit seasonality will kick in, maybe a little bit lower than we saw. Obviously a lot of the differential vis-à-vis the quarter will potentially come from the potash, which Raviv spoke about and also our release spoke about. So if I zero in on the three business divisions that comprise, the specialty side of the business, then I would say that if I look at them each, all of them should be to some degree seasonally adjusted, not as strong as Q3, the differences are not that big. And if we do the math, and we compile Q4 to what we came out in the three quarters, this one that we are reporting today in hand, then we should be firmly in the territory of our new guidance. So what can drive it to the upper side is, results that will be somewhat better in the different markets, each of them with their own story, which could drive it a little bit down, would be obviously the other side. But we feel pretty well with the guidance that we shared with the market, which is definitely better than what we saw after Q2. That's also on the back of obviously the Q3, which we're coming out today, which is basically a good quarter. We normally tend to be, as you all know, quite conservative and we take extra care to fulfil our obligations to the market. So there you have it.
Aviram Lahav : And maybe just to add on the fourth quarter that typically the seasonality, is right to the last moment. So an industrial product. There's a real question on how December looks and also growing solutions typically at the end of the year, we see a drop in the strength of demand. So we see typically Q4 is a little weaker than Q3.
Raviv Zoller: Also there's Brazil, if I may just append a quick note, which just reminded me it's basically the Brazilian market, which obviously in the second half of the year, has a lot of importance in the Southern Hemisphere, of course, and Brazil is obviously so important from the agricultural point of view, but it's quite volatile. So I think, adding to what Raviv said, a lot will be determined by how strong is the very end of the year. And that will now obviously only in the early days of 2025, but we seem to be well on track.
Alexander Jones: Thank you.
Aviram Lahav: Welcome.
Raviv Zoller: Thank you, Alex.
Operator: Thank you. Our next question comes from Joel Jackson with BMO Capital Markets. Please go ahead. Your line is open.
Joel Jackson: Hi, good afternoon. I'm going to ask a few questions one-by-one. Good morning or good afternoon. Could we talk about when you've raised the specialties guidance for the year here by about $100 million? Can you break that down as much as you can between specialty phosphate, commodity phosphates, bromine and potash especially, excuse me, not potash, but growing solutions have 100 has improved how the business improved by about 100?
Raviv Zoller: Yes. So growing solutions is going to be a little weaker than third quarter and industrial products, is going to be a little weaker than third quarter. Like we mentioned before because of seasonality, we don't want to break through. But….
Joel Jackson: Sorry to interrupt, but what I'm saying is for the full year over the two quarters, Q3 and Q4, you said it's 100 more. So I'm sort of asking across the second half of the year, not the repeating the question prior person asked about Q4. Sorry?
Raviv Zoller: Yes. So again on industrial products and growing solutions, we see fourth quarter being a little weaker than Q3, and phosphate solutions will be relatively similar to Q3. We don't break up specialties and commodities on phosphate for a simple reason that, we leave ourselves the flexibility to sell whatever makes sense in the market. We're short on both specialties and commodities, so we look at the best alternative at the time. And the year still has almost two months to go, so it's too early to break them up.
Joel Jackson: Maybe I could ask it differently? Versus three months ago, between growing solutions, phosphate and IP, which business has surprised you most to the upside?
Aviram Lahav: I think that the surprises that we got, some of them surprised, surprise was in phosphate. Phosphate is enjoying a good period, a good period versus obviously the last year, and a good period versus what we internally budgeted. And I think we all understand the macro side that is contributing to that, and that is both the commodities and the specialty side, without going into the breakdown there. What we - I'm not sure it surprised us, but what we are getting more and more confident with and happy with is what's going on the agricultural side in the company. The strategy basically has always been there, to differentiate and to grow the specialty fertilizer side, to grow the biostimulants, et cetera side. And it is working and we see that we are getting a healthy margin. And that is. I'm not sure it's a surprise, Joel, but we're very happy with it. On the industrial products, basically, we also had a good quarter and this is, as we know now, it's a fight inside a market that the demand is not healthy yet. So we are supplying obviously at high capacity, but the selling prices is nowhere near. But notwithstanding that, we were able to deliver a solid quarter, I'm not sure it surprised us, but we were happy with it. So there you have basically - the three. If I sum up, it's the three divisions that they did better. And I think it's a highlight of the quarter itself.
Joel Jackson: That's helpful. And my final question is, in your release and presentation, use language like you intend to limit total potash sales this year to 4.6 million tons in expectation of improved conditions. Now, if I look at your last four quarters of production, you've done about 4.5 million tons. The run rate is lower the first three quarters of 2024, so it looks like, you don't have the production to do more than 4.6. You said in expectation of improved conditions. What does that mean? Are you talking about all you're holding back volume, to get better price next year though we just talked about what the production has been. Is this improved conditions in logistics? I'm just trying to understand what the exact message you're putting out there today. Production, sales, discipline, anything you want to talk about?
Raviv Zoller: So the message is simple. Currently, we're capable of producing about 4.65 this year. And we're capable of selling about 4.75. But at this point it doesn't make sense to sell any more than we've already committed. So the reason is twofold. One, is because prices are firming for next year. So, we actually have already sold for January and February. And second, is that due to the current logistic challenges, we feel that if we can defer sales, certain sales, we can get better transportation costs. Hopefully if the security situation improves. If it doesn't improve, then it's only the pricing. But if it doesn't prove then it's also the logistics, which are very significant. Just so you understand, in order to. In order to transport to the East, in some cases costs double if we send the product out of the port, that is - further from the plant. So it makes sense from both of those perspectives. And at a certain point we decided to stop. And actually part of - the fact that we're stopping, means that we're actually capable of less production. We would have been capable of more production, but we added additional preventive maintenance, because in the past year or so, because of a lot of people being on reserve duty, then we had to take some calculated risks and do less preventive maintenance. And you can't keep on going that way for a long time, without paying a dear price. So we took some preventive - preventing steps - this quarter. It's actually not this quarter, it's September and October and due to that our maximum production for this year could be a little over 4.6. It was more than that a little while ago. But we're comfortable with what we did, because we sort of cleaned up everything that needed to be done in order to minimize the risk going forward. Hope that answers.
Joel Jackson: Thank you.
Raviv Zoller: Thank you, Joel.
Operator: Thank you. We will move next with Kevin Estok with Jefferies. Please go ahead. Your line is open.
Kevin Estok: Hi, good morning, Good afternoon everyone. I guess with respect to the innovation platform, I'm just curious what your guys appetite may be for investing in white spaces. So for example like, if the EU goes forward with allowing gene editing for fruits, vegetables, et cetera, I guess could ICL get into that space as a way to maybe hedge risk on, I mean, improvements in nutrient efficiency?
Raviv Zoller: Could you repeat the question, because it was difficult for us to hear?
Kevin Estok: Oh, apologies. Basically just curious to know like more about I guess, your appetite in investing in white spaces. So if you move forward in like gene editing, right, for fruits, vegetables, wheat, rice, et cetera. Just wanted to know if you guys - would invest in those areas basically to hedge the risk against, increasing nutrient efficiency?
Aviram Lahav: So okay, I'll take that, I'll try to answer you and I'm taking it a little bit broader maybe than you meant. So you will keep me in line. So basically, as you know, starting from the mere setup of the growing solutions, it's our flag to do, to be innovative and to differentiate ourselves, that's a given. Second is, we are investing in areas that we believe that will be significant or very significant in the future of agriculture. And that obviously is the area of the biologicals, some in delivery systems, in better uptake inside the plant, et cetera. However, and as a big however, what we do is applied R&D. We are taking steps, gradual steps to build up the portfolio. What we are not doing, is that to do leapfrogs and go into areas, which today are really exploratory. And we will come into, I guess we will come into these areas. But we are stretching the limits of GS, but we are not going into things, which are today quite remote from the core of our essence. And that's why if you - if I understand you correctly, you're talking about white space cases. It's really, really going to the forefront of inter alia gene editing and things like that, which I know from my past that companies have gone into. But it's, I would say it's in the - chemical space. It's a way to go there. I mean, it's not as advanced obviously as the pharma world. And the long answer to a short question was we are careful to build block-after-block in our innovation, and not jump too far ahead that we don't have the pool together yet. Is that what you had in mind?
Kevin Estok: And then I guess my last.
Aviram Lahav: Yes, go ahead.
Kevin Estok: Yes, that was helpful. Yes, I appreciate it.
Aviram Lahav: Yes.
Kevin Estok: Yes, and I guess just - apologies if you've covered this already, but I guess near term, do you guys have a sense of how much Chinese bromine capacity has exited the market, if any?
Raviv Zoller: We think - very little has actually completely exited, but there's quite a lot of production tons that are muted now. So it could be a matter of time until some exits. So the answer is there's about, I'd say all in all about 60,000 to 70,000 tons that's been muted so far. But in terms of bankruptcies, or actually companies leaving the market, probably about 15,000 tons so far. Again, these are rough estimates. They're not accurate, but they're pretty accurate.
Aviram Lahav: It's basically Chinese ownership. It's not in China.
Raviv Zoller: Correct. Yes, some of those tons are non-Chinese.
Aviram Lahav: They're high cost tonnage. So our, let's say assumption basically is when the prices stick around the low end, and we have such a great cost position, which is superior to everybody else. There's a limit of time and there's a limit of prices that those Chinese can sustain. That's exactly the strategy that we're deploying and you see the results.
Kevin Estok: Thank you very much.
Raviv Zoller: Thank you, Kevin.
Operator: Thank you. And we show no further questions at this time. I will turn the call back to Ravi Zoller for closing comments.
Raviv Zoller: Okay. So thank you very much for joining us for our conference call for Q3. I want to thank ICL employees for their great contribution to a fine quarter. We're very positive about the way we're positioned for future growth now, with the markets looking the way they are. And hopefully when the geopolitical constraints go away, we're ready to take off. So looking forward to reporting back to you on fourth quarter results, and full year results. Thank you very much for joining us today, and have a great rest of the day.
Aviram Lahav: Thank you.
Operator: And this does conclude today's program. Thank you for your participation. You may disconnect at any time.